Operator: Good afternoon, everyone and welcome to eHealth, Inc.'s Conference Call to discuss the Company's Third Quarter 2023 Financial Results. At this time, all participants have been placed in a listen-only mode. The floor will be open for your questions following the prepared remarks. I will now turn the floor over to Eli Newbrun-Mintz, Senior Investor Relations Manager. Please go ahead.
Eli Newbrun-Mintz: Good morning and thank you all for joining us today. On the call today, Fran Soistman, eHealth's Chief Executive Officer; and John Stelben, Chief Financial Officer will discuss our third quarter 2023 financial results. Following these prepared remarks, we will open up the line for a Q&A session with industry analysts. As a reminder, this call is being recorded and webcast from the Investor Relations section of our website. A replay of the call will be available on our website later today. Today's press release, our historical financial news releases, and our filings with the SEC are also available on our Investor Relations site. We will be making forward-looking statements on this call about certain matters that are based upon management's current beliefs and expectations relating to future events impacting the company and our future financial operating performance. Forward-looking statements on this call represent eHealth's views as of today and actual results could differ materially. We undertake no obligation to publicly address or update any forward-looking statements in future filings or communications regarding our business or results. The forward-looking statements, we will be making during this call are subject to a number of uncertainties and risks, including, but not limited to those described in today's press release, and in our most recent Annual Report on Form 10-K and our subsequent filings with the SEC. We will also be discussing certain non-GAAP financial measures on this call. Management’s definitions of these non-GAAP measures and reconciliations to the most directly comparable GAAP financial measures are included in today’s press release. With that, I’ll turn the call over to Fran Soistman.
Fran Soistman: Thank you, Eli, and thank you all for joining us this morning for eHealth’s third quarter 2023 earnings call. eHealth delivered strong Q3 results reflecting favorable member retention trends, an increase in Medicare Advantage lifetime value, and better than expected cash collections on our existing book of business. Third quarter Medicare enrollments came in slightly below expectations as we focused on AEP preparedness and reserved our marketing budget for the fourth quarter.  Our Q3 results also reflect important investments in support of our Medicare annual enrollment period objectives, including the successful scaling of our telesales organization. This included the expansion of our national and local market teams of licensed agents or benefit advisors, as well as the addition of customer care specialists as part of our ongoing commitment to enrollment quality and superior member experience that leads to improved customer persistency. We also ramped our advisor force supporting our dedicated carrier arrangements. During the quarter, we finalized our preparations for the AEP across all key areas of our organization entering Q4 in a strong position to deliver on our financial and operational goals. Importantly, the organization is now significantly more agile than we have been in prior enrollment seasons, allowing us to course correct as we go, leaning into channels and markets that are outperforming expectations, while shifting spend out of underperforming areas.  Agility is a critical factor for a successful AEP, as this concentrated stretch is both intense and fluid. Before discussing operational developments during the third quarter, I'll first offer some comments on dynamics we are observing within the Medicare market. First and foremost, the Medicare Advantage market remains as attractive as ever, aided by demographic trends, bipartisan support for the program, a significant value proposition relative to traditional Medicare, and robust plan selection offered by carriers. The Congressional Budget Office, the CBO, projects that the share of all Medicare beneficiaries enrolled in Medicare Advantage plans will rise from the current levels of 51% to 62% by 2033. Looking ahead to 2024, health plans continue to feature core and supplemental benefits that seniors find attractive, including zero-dollar premiums and added value services.  I would also like to briefly address the 2025 technical notice published earlier this week by CMS. We are in the early stages of reviewing the proposed rules, but the spirit of promoting competition and delivering transparency is in line with our carrier agnostic Choice business model. Regardless of the ultimate outcome of the proposal, it will have no impact on our operations during the current AEP. We are confident in our ability to navigate potential future impacts with the proposed rule down the road, as we are accustomed to adjusting for regulatory changes in this sector. This enrollment cycle, we are observing additional trends that are shaping the Medicare market. First, while carriers have made some changes to their 2024 MA plan offerings, overall, we are seeing a greater stability of benefits and premiums than initially expected. Second, total special needs plans, known as D-SNPs, and chronic special need plans, known as CSNPs, are becoming increasingly important contributors to overall MA growth and a key part of AEP strategy for many carriers.  Third, carriers are driving increased local market focus into their product design and marketing efforts. We anticipate this trend to continue as the industry makes additional advances implementing value-based provider arrangements. To this end, eHealth made important operational changes to our telesales organization last year and more this year to align with the local and community-based nature of healthcare delivery. Carriers continue to demonstrate a commitment to Medicare Advantage as a core growth driver and based on the 2024 plan designs, are prioritizing robust competitive plan offerings. Despite the relative stability of MA benefits, we do expect to see some changes in carrier competitive dynamics, especially on the local market level. We are prepared to support and advise seniors as they evaluate their current coverage and available options. Further, in situations where carriers have withdrawn products and/or exited markets, eHealth is prepared to proactively protect our customer relationships to be opportunistic as we seek to grow our market share. With respect to the Medicare distribution sector, we see the competitive environment as favorable. Throughout the past 12 months, we have observed exits and financial distress leading to bankruptcies, reorganization, and divestitures, along with capacity reductions from several of our competitors. And we will likely see more as new Medicare marketing regulations put strain on industry players that are not able to adjust their practices timely and cost effectively. Additionally, in the current financial environment, it's increasingly difficult for small private organizations to access capital. As brokers adapt to the changing environment, they are increasingly focused on profitability and enrollment quality as opposed to growth at all costs. We believe this is a major positive for the industry. At the same time, we are seeing limited innovation in the sector in terms of consumer facing technology tools and omnichannel capabilities. In addition, telebroker industry marketing messaging remains largely generic. This sets eHealth apart as we see ourselves as the strongest true omnichannel platform with a distinct brand. This creates an opportunity for us to build deeper relationships with consumers and carriers. Now, moving to our third quarter results. Total revenue for the third quarter was 64.7 million, representing 21% growth compared to Q3 of 2022. GAAP net loss for the third quarter was 37 million and adjusted EBITDA loss was 28.1 million. Our Q3 results include positive tail revenue of 12.2 million. eHealth's cumulative net favorable revenue adjustments 2018, when ASC 606 was initially implemented, is now up to 186 million. I can't emphasize the importance of this metric enough. It speaks to the high quality and reliability of our commissions receivable asset and reflects cash that we are collecting above and beyond the initial revenue booked at the time of enrollment. Year-to-date eHealth has recognized more than 30 million in total net sales. Strong performance of our existing member cohorts in terms of retention and cash generation contributed to a year-over-year increase in our Medicare advantage lifetime values and allowed us to enter the fourth quarter with significantly stronger liquidity relative to our forecast. As of September 30, we had $161 million in cash, cash equivalents, and short-term marketable securities. Operating cash outflow for the quarter was $24.7 million an improvement compared to operating cash outflow of $29.6 million in Q3 of 2022. John will discuss our Q3 financial results and key metrics in greater detail later on the call.  On the operational side, we made significant year-over-year improvements within our marketing, sales, and product organizations. These changes take into account the latest macro and regulatory developments in our sector, as well as our long-term strategic goals. I'll begin with our rebrand, a project that's been in the works for months and launched officially on October 2. We identified a need for a refreshed brand identity to reflect the transformational work that has taken place over the past 2 years towards building sustainable competitive differentiation. It is critical that the look and feel of our brand effectively communicates eHealth's value proposition to consumers, carriers, and strategic partners.  Our marketing team listened to many hours of consumer testimonials and focus groups, let those takeaways be the North Star for the rebrand. The key takeaways from this process is that everyone deserves a positive healthcare plan shopping experience, and that eHealth has an opportunity to make this a reality by embracing transparency, making consumers' best interests our own and showing them how easy it can be to compare plans from top insurers and find the right match, whether by phone, online assisted, or do it yourself online. As part of our rebrand, we strike a new tone in our consumer messaging, emphasizing simplicity, consumer empowerment, and genuine authenticity. Additionally, our rebrand includes a redesign of our omnichannel user experience, making it more intuitive and user friendly. We also introduced new television, direct mail, print, radio, and digital ads that we believe will set ELs apart in the minds of beneficiaries. Simply put, this rebrand represents a breath of fresh air for an industry that has been criticized for generic and often confusing marketing tactics.  Our new brand is exemplified by our brand ambassador, Eve, who will play a powerful role in our brand affinity and storytelling with the goal of improving brand recall. We encourage you to view our new TV ad, the [indiscernible], by visiting the eHealth YouTube page where our new TV ad spots are posted.  Our AEP marketing strategy also includes scaling channels that worked for us last year by expanding existing partnerships, adding new ones, and optimizing market outreach through audience segmentation and targeting. New demand generation channels were launched, some on a full-scale basis and others in a limited pilot mode. For example, we reentered the DirecTV channel after 2 years, deploying a fully redesigned strategy, and messaging. We are supporting our local market strategy by testing into local market campaigns with Connected TV and radio ads, as well as email outreach. And finally, we are testing social and consumer earned media channels that are reaching target audiences that our legacy marketing approach was not able to engage. All of these marketing activities are rooted in our disciplined LTV to CAC objectives. As mentioned earlier, our ability to be highly flexible and opportunistic in our channel strategy as AAT unfolds allows us to shift between channels or strategies in order to meet our LTV to CAC goals. Through the collaboration between our marketing, e-commerce, and telesales teams, consumers will also see consistency in design and messaging across all of their touch points with eHealth. All of our direct marketing channels now drive leads into both online and telephonic enrollment channels, as opposed to the siloed approach used in the past. This allows us to truly leverage the omnichannel nature of our enrollment platform. Moving to our sales organization. In Q3, we completed our benefit advisor hiring and ramping process. We onboarded the largest advisor ramp in recent eHealth history, successfully achieving our headcount goals, and conducting a comprehensive training program. We began this process earlier in the year than we have in the past to give our new advisor classes additional [at Bats] before the stakes are exponentially raised in the fourth quarter. We believe this investment in earlier agent ramp will pay off this AEP for greater conversion rates and improved customer experience. To this end, the conversion rate gap between our newly hired and tenured advisors has already narrowed meaningfully compared to prior years. We have also significantly expanded the number of agents supporting our carrier dedicated arrangements. This is the first AEP in which our sales organization features 2 distinct groups, one group supporting our core choice model and another driving our growing carrier dedicated business. In preparation for the AEP, our sales organization made further refinements to our customer retention program aimed at cultivating beneficiary relationships year-round with a particular focus on the first 90 days post enrollment. We are also engaging audiences deemed by our models to be high risk with high touch, customized outreach. This includes a particular focus on retaining our D-SNP members at important demographic that is able to switch plans with more frequency than non-D-SNP Medicare eligibles. Our unwavering commitment to quality is demonstrating positive results as we continue to see encouraging outcomes, both in terms of CTM scores and our receipt of accolades from many of our carrier partners. In fact, for many of our major carrier partners, eHealth feeds the telebroker sector on quality performance and retention for the most recent AEP and OEP Medicare Advantage cohorts. These positive dynamics are reflected in our MA lifetime values and positive revenue adjustments this quarter. Moving to our digital organization, a new look and feel of our site launched ahead of the AEP was implemented based on the analysis of customer needs and behaviors we observed on our platform. It is expected to drive an increase in online conversion, a significant operating lever, given that millions of customers come to our website annually to research and shop for health insurance. Our landing pages and messaging are now personalized based on audience and channel and aligned with corresponding marketing campaigns for more seamless handoffs. The 2.0 version of our proprietary recommendation engine now includes additional benefit features and customer preference ranking and is available to our benefit advisors, as well as directly to our customers. In addition to our updated plan recommendation engine, we made material improvements to the tech experience of our benefit advisors. This includes API integrations with third-party data sources that put important information at advisors' fingertips, reducing the amount of time they need to spend manually searching and typing during an enrollment call. The key point here is that our commitment to technological excellence permeates our entire omnichannel enrollment platform from online unassisted enrollments through fully telephonic enrollments.  A final item to highlight within our digital organization is the optimization of our mobile experience. We've seen data over the past several quarters indicating that customers are increasingly interacting with our platform via smartphones. The new mobile user experience is decluttered, simple, and reflects the new look and feel of our rebrand.  As we finish the first 3 weeks of the AEP, the initial results further demonstrate our transformation plan, including the optimization of our sales and marketing processes is working. eHealth's brand message resonates with our customers and we are seeing strong unit economics in our direct channels. Other distribution platforms continue to maintain a more rational approach to demand generation compared to prior years, a favorable sign. At the same time, certain national carriers are in a more competitive position due to their strong starts performance that we expect will perform well this year in terms of enrollment growth.  In accordance with our diversification goals, eHealth also continues to develop our capabilities outside of our core MA business. In 2023, we established a Medicare supplement advisory team with dedicated leadership supported by Med Supp centric marketing initiatives. We're also seeing encouraging results from our ancillary products, such as hospital indemnity plans. Med Supp and ancillary plans play an important role in the menu of products we offer our beneficiaries, and in certain cases pair well with our new to Medicare and D-SNP audience strategies as they create key opportunities to deliver additional value to our customers and drive enrollments outside of the annual enrollment period. We plan to pilot additional products and services in 2024.  Within our individual, family, and small business segment, our performance this year is primarily driven by direct-to-consumer sales, as well as favorable persistency metrics on our existing book of business. We've seen evidence that carriers are expanding their IFP portfolios and footprint as the ACA market stabilizes after several challenging years. We also remain bullish on the ICHRA, or Individual Coverage Health Reimbursement Arrangement, opportunity despite a slightly lower adoption curve than we initially expected. We believe that ICHRA will play a meaningful role in the future of employer sponsored health insurance, and we intend to be there to support this growing trend.  In Q3, we created a dedicated ICHRA sales and service team to support brokers, employers, employees, and ICHRA administrators. As we continue to execute through the critical annual enrollment period, I am confident in eHealth's ability to deliver on the performance commitments we've made. This includes returning to strong Medicare Advantage enrollment growth in the fourth quarter, while achieving expanded MA enrollment margins compared to a year ago. We are also on targets to deliver adjusted EBITDA profitability and a substantially more favorable cash flow profile for the full year 2023 relative to last year.  My confidence is rooted in the tremendous work that this team has done to prepare for the AEP, as well as our observations during the first 3 weeks. We have the right team in place to lead our company forward and an inspired employee base that is committed to delivering for our customers.  With that, I will pass the call to John Stelben to discuss our financial performance. John?
John Stelben: Thank you, Fran, and good afternoon, everyone. Our third quarter results reflect our AEP readiness efforts, including investments in scaling telesales capacity. As our organization prepared for AEP, we continue to exercise cost discipline and work towards achieving adjusted EBITDA profitability. Our third quarter results also include positive tail or adjustment revenue indicative of strong performance of our book of business in both our operating segments Medicare and IFP SMB. Total revenue for the third quarter was $64.7 million, representing a 21% increase from the third quarter of 2022. Year-over-year revenue upside was driven primarily by the $12.2 million in net tail revenue that we recognized in the quarter and that compares to $3.5 million in net tail in Q3 of last year. Underneath that, $9.3 million of the tail came from our Medicare book of business and $2.9 million came from our IFP, SMB and ancillary products. We have now reached $186 million in cumulative net tail since we adopted ASC 606, including more than $30 million in net tail this year alone. The main driver of third quarter positive tail was favorable cash collections from some of our Medicare Advantage cohorts relative to our original expectations. The LTV revenue we recognize for each member cohort consists of a combination of initial revenue booked at the time of enrollment and the revisions to that estimated lifetime value, which we recognize over the life of that cohort. Recall that we booked initial revenue with a constraint. For our Medicare Advantage product, we constrained LTVs by 7%. If cohort performance based on cash collection exceeds expectations estimated by the initial constrained LTV, that constraint is released over time in the form of positive adjustment revenue. Our cumulative net tail revenue of 186 million since our implementation of ASC 606 in 2018 should provide investors greater confidence in our revenue accounting process and related commissions receivable balances. It seems in the short period of time I've been here that we are not given sufficient credit for our tail revenue and that tail is not seen as a reflection of eHealth 's underlying operating performance. But make no mistake, tails speak to the strength of our business and reflects the true value of our book of business that in aggregate continues to perform ahead of our original expectations. This is in contrast with other industry players that have gone through substantial commission receivable impairments over the past 2 years. Our consistently positive net adjustment revenue could be interpreted as conservatism within eHealth's initial revenue estimates and that is a fair observation given our recent results. While we continue to work on refining our initial revenue estimates, eHealth believes investors are better served with the conservative posture eHealth has employed. Third quarter Medicare segment revenue was $55.5 million, up 23% year-over-year. Medicare segment loss was 17.5 million in Q3 2023 and compares to segment loss of 23 million in Q3 2022. Key drivers of Medicare segment performance during the quarter included a decline in Medicare enrollments, offset by higher NA LTVs and net tail. Excluding tail, the Medicare segment performed slightly below our expectations in terms of enrollment volume. Our operational focus in the quarter was on the AEP preparedness, including agent hiring and training.  Third quarter Medicare unit economics are typically characterized by our seasonally highest CC&E cost per approved member. Given that the newly hired advisors are either still in training or just beginning to take live calls, and therefore converting at lower rates on average than our more experienced advisors. As Fran mentioned, this conversion gap narrowed meaningfully as we entered the AEP. This AEP, new advisors represent more than half of eHealth's total telesales capacity. Third quarter approved NA members declined 7% year-over-year, relatively in line with the decline in our variable marketing and advertising spend during the quarter.  Total approved Medicare members, including Med supp and PDP products, declined 10% over the same time period. Total variable Medicare cost per MA equivalent approved member was $1546, a 27% year-over-year increase reflecting relatively flat variable marking per approved Medicare member and a 50% increase in CC and E costs per approved Medicare member, driven by the factors I just described. We believe this investment in scaling our advisor base earlier in the year and putting them through an enhanced training protocol will yield positive returns in the fourth quarter. Estimated lifetime value of our Medicare Advantage products was $997, representing year-over-year growth of 5%. LTV growth in the quarter was driven mostly by positive trends for both commissions collected and our carrier mix. In terms of persistency, our largest recent cohort enrolled during the fourth quarter of 2022 continues to outperform prior AEP cohorts by approximately 100 basis points. This has positive implications for fourth quarter Medicare Advantage LTVs, assuming the trend persists. Non commission revenue in the third quarter was $7,5 million as compared to $4,400,000 in Q3 2022 and was comprised primarily of Medicare sponsorship revenue.  Now, moving to our individual family and small business segment, which includes our ancillary products as well. Segment revenue in the third quarter was $9.2 million or a year over year increase of 12%. Segment profit was $4.6 million, compared to $2.7 in Q3 2022. Q3 enrollment volumes decreased within the segment, offset by higher LTVs and a $1,100,000 increase in segment Tail revenue. The growth in Tail revenue year-over-year was almost entirely driven by our SMB book of business. Moving to our operating expenses, total non-GAAP OpEx increased 6% compared to Q3 2022, driven primarily by 38% year-over-year increase in CC& E associated with our larger benefit advisor base. Non-GAAP marketing and advertising expense declined 5% year-over-year.  This reflects a 9% decrease in variable marketing and advertising costs, partially offset by our investment in rebranding. Fixed costs or the combination of our tech and content and G&A expense lines decreased 11% year over year as a result of our cost reduction efforts. Underneath that, non-GAAP tech and content expense decreased 31%, while non-GAAP G&A expense increased by 13%. Higher non-GAAP G&A in the quarter was driven in part by higher personnel costs year-over-year. Q3 operating cash outflow was $24.7 million, an improvement from $29.6 million in Q3 a year ago. Despite supporting a substantially larger benefit advisor force than we did last year. This improvement was driven by stronger commission collection, lower marketing and advertising spend year-over-year, as well as our steadfast commitment to fixed cost discipline. Further, operating cash flow for the trailing 12 months ended September 30th was positive $8.1 million, a significant improvement from negative $110.6 million for the trailing 12 months ended September 30, 2022. For the full year 2023, our guidance implies negative cash flow from operations as we invest in member acquisition during the fourth quarter AEP. As a reminder, the majority of initial commission payments from AEP sales comes in during the first quarter of the following year and we continue to expect breakeven to positive operating cash flow for the trailing 12 months ending March '24. eHealth ended the quarter with 160.6 million in cash, cash equivalents and short-term marketable securities on our balance sheet. Our total commissions receivable balance was $780.6 million as of September 30, 2023, including 212.4 million and current receivables that we expect to collect in the next 12 months. The significant positive tail that has been recognized over past quarters is an indicator that our commissions receivable balance is not only reliable, but could actually represent a discount. So, the total cash we could expect to collect on an unconstrained basis from our member base. Looking ahead to the fourth quarter, you should expect another sequential step up in absolute CC&E spend and a large increase in marketing expense as we ramp up existing channels and launch new ones. At the same time, we forecast an increase in our telephonic and online conversion rates as compared to a year ago. This is expected to drive an expansion of our MA enrollment margins as measured by LTD minus total acquisition cost per member. We also expect improved fourth quarter net income and adjusted EBITDA, driven by these improved margins as well as fixed cost leverage year-over-year. In Q2, we increased our annual guidance reflects the positive tail revenue we booked for that quarter. Given that we are in the midst of the annual enrollment period and the significant impact that our performance during these weeks and especially the last days of the AEP has on our overall annual results. We are reaffirming guidance provided in August. Based on all the extensive preparation that Fran described and our solid financial footing, I am confident that eHealth is well positioned to execute on our AEP plans and longer-term financial goals as presented at the Analyst Day in May.  With that, I will turn the call back to Fran for closing remarks. 
Fran Soistman : Thank you, John. Before we open the call for questions, I'd like to take a moment to highlight the significant progress this organization has made in the past 2 years. Today, we are much stronger operationally in every major aspect of our business, including our telesales processes, demand generation programs, consumer and agent facing technology tools, carrier relations, customer satisfaction, and so much more. Our book of business is performing well with an improving retention trends and strong commission flow relative to our LTV models. The cost reduction program we implemented last year has led to significant improvement in our earnings and operating cash flow. As a result, we are in a strong liquidity position and on target to reach cash flow generation.  Most importantly, our employees are motivated, engaged, and looking forward to taking our company to the next stage as we complete the transformation formation process.  And now, we will open the call for questions and answers. Operator? 
Operator: [Operator Instructions] Your first question comes from George Sutton from Craig-Hallum.
George Sutton: I've got a few questions. First on the customer care and enrollment side, obviously, much more expense per approved member in Q3. You mentioned that that was an enhanced training protocol in part. Can you just give us a sense of what that means for Q4? How much better are you set up? Will we see actual reductions In that line item, on a per approved member basis in Q4? 
Fran Soistman: Good afternoon, George. Thanks for your question. Yes, I think the short answer is you will see improvements in the fourth quarter. We're very, of metrics oriented here, we know what drives top line, bottom line performance. We're mindful of not just having the capacity to respond to inbound calls, but also, making sure that when where we invest the marketing dollars, we're getting, the respectful and appropriate, LTV to CAC outcome.  Let me see if John would like to add anything to that.
John Stelben: No, Fran, I think that's right. We expect to see expansion in the LVADICAC margin in Q4. Got it, year-over-year.
George Sutton: So, others have also reported Kind of early indications of what they're seeing. Sounds somewhat consistent with what you're saying. I believe given you mentioned you were below plan a little bit in Q3. Others have said they saw a slow start to the season, but it has picked up relatively nicely since. Is that generally what you were saying in this messaging? 
Fran Soistman: I think largely that's right, George. I mean, the 1st day, we absolutely killed it. And, and then things started to settle down a little bit. And that 1st day's performance is largely reflecting the pipeline that we had built up, that the agents had built up, and we're able to move on it very quickly. And that was a Sunday, by the way, this huge Sunday. So it has largely moved to what I would say is pretty predictable. At this stage, we're 24 days into AEP. As you know, there's generally or at least historically a surge in those last 10 days, we have no reason to believe that's going to be different this year. But I would say just to elaborate further, we are an omnichannel distribution organization and we have channels that are performing strongly, channels that have performed a little less than expected, but we see some signs over the last couple days of that improving. We see with our diversification of now having a dedicated carrier capability, we see different trends there as well. The agency side of the business and the dedicated carrier side of the business, there are some similarities, but there are also some interesting differences, which we'll certainly elaborate further if they continue when we report our fourth quarter.
George Sutton: And then finally, just a comment and then a final question. The comment is on the TV ad, I think it's really well done, concept of reducing stress, so I certainly am eager to see kind of how that plays through this season. But on the question side, the 2025 CMS technical changes include a $6.42 fixed cost or fixed compensation arrangement, can you explain what you see that meaning for you and is that meant to target certain players in the industry specifically?
Fran Soistman: Well, before I answer the question, let me acknowledge what you've already shared in terms of the TV spot. We're really pleased with it. It's helping our branding recognition and that's important. As you know, there's a lot of noise at this time of the year, the messaging needs to find its way through all that noise and we are seeing some encouraging signs that indeed it's doing what we had opted to do. And the stress limiting stress messaging is really resonating. As far as your question, as you know, the, CMS did issue its proposed new rules for 2025 on Monday evening. And it's luminous, it's just under 500 pages. I would say that there's areas where we are still trying to decipher what the intent is, that's not uncommon. I'll remind you of what happened with the 48 hour rule, the scope of appointment. We experienced some similar ambiguity that's pretty typical. So, clearly, this will be a process, including an opportunity to talk to CMS to comment to CMS before these proposed regulations become finalized. So, we may have more to share with you later in the quarter.
Operator: Your next question comes from George Hill from Deutsche Bank. 
George Hill : What is just a thing I want to revisit on the tail revenue, which is if I remember, like, the margin on that comes through at a pretty high level. And I guess I just want to confirm that. And I guess I wanted to ask if you guys have any visibility into any more tail revenue coming through in Q4? And then I've got a couple more as well, please. 
Fran Soistman: Sure. So, I'm going to let John take that, and I may supplement it to see what John has to say. 
John Stelben: Sure. The tail revenue relates to a prior period. So therefore, it is very high margin. To tell you, we do not, guide or forecast tail forward. It's there are a lot of factors that go into how that tail, to get developed. So our guidance for Q4 implied in the annual guidance does not include any tail. 
George Hill : That's super helpful. Fran, that was pretty clear. I didn't know if you had anything else you want to add or I can just move on?
Fran Soistman: I think it's an encouraging sign. It's an early indicator of the important work we're doing with retention. So we're very encouraged. The work is far from completed, but it's an important sort of preliminary milestone.
George Hill : Okay. And I guess how are you guys thinking about how you resource the ISP market given kind of what we're seeing in Medicaid redeterminations to excuse me, and a lot of members, a lot of these people transitioning to ACA style plans with some degree of subsidy. And we're seeing a lot of the MCO companies who you guys work with kind of put up pretty good results around what would look like ISP business for you guys, would just want some macro thoughts on that? 
John Stelben: Thanks for that question, George. The individual market is an interesting, I would say phenomenal right now. If you've seen one state, you've seen one state. There's been states that have suspended the redetermination efforts. We've seen states with their state exchanges where it's more difficult to work with them, or there's limitations as to what we can do.  That said, we're still very committed to the individual market. And we're looking at to Enhancements to our operating model, to our marketing strategies. So while it hasn't been as much of a factor to in '23, we aim to change that for '24 and beyond. 
George Hill : I'd say, I have twp quick ones, Fran, to pick up on one of them, which is, I don't know if you I know you guys aren't in a position to put '24 guidance out there yet, put a lot of companies on the third quarter calls kind of talk about big moving pieces in puts and takes. I was wondering if you guys would address that. And my last follow-up would just be, it looks like the Med D program is going to see a significant amount of disruption over the next 2 years. I know it's not important, very important for you guys, but we just love how you're thinking about to, would there be either the opportunity or to like the elimination of the opportunity to book that for you guys? And I'll hop back in the queue.  Let me address your first question, guidance. We don't provide '24 guidance out q4, full year '23 results, which will be early Q1 next year. So more to come on that. We obviously have a governance process. We have to, get forward buy in terms of our operating plan. As far as Part D, I think you're right. There will likely be a fair amount of disruption on Medicare Part D. It's potentially going to be a catalyst for more movement into Medicare Advantage, because of ADD most Medicare Advantage programs have an integrated Part D, program. So -- but to the extent that it's still necessary to complement, those who are in original Medicare with or without Med Supe, people are going to need it. In fact, you know, there's penalties if you don't sign up for it when you first become eligible. So right now, our thinking is that it could be a catalyst for more Medicare Advantage business.
Fran Soistman: Yes. I phrased the question poorly. That's generally the direction I was going in is, I would expect that you guys should see a little bit of PDP to MA conversion in 24 in 25, I'm sorry. I appreciate the comment?
Operator: Thank you. Your next question comes from Ben Hendrix from RBC Capital Markets.
Michael Murray : This is Michael Murray on for Ben. Could you discuss the scaling of your telesales organization ahead of ahead of AEP. how does this compare to prior years? And how are you thinking about the efficiency of these agents given potentially limited experience?
Fran Soistman: The scaling has, I would say is comparable to what we did a couple years ago. As you know, we needed to reset, our sales organization and is part of the transformation, and we did that successfully in April of 2022. The advancements that have been made on our sales effectiveness, and our marketing optimization gave us confidence that we could scale it again. Plus, through our diversification efforts and having the dedicated carrier BTO capabilities, we needed to ramp up for that opportunity. So, that didn't exist when we were last at a comparable level a few years back. So, the scaling really accomplishes are strategic needs on the agency side as well as on the dedicated carrier BPO side of our businesses. As far as the tenure. What I can tell you, Meds, and it's really a testament to the effectiveness of our training. Our sales organization has just an incredibly, well-tuned training capability that is continuous. It's not one and done. I mean, it is continuous. Every day, we send out what we call a slew bite, and it's a pretty 4 minute video that provides training tips to both new and tenured agents. And I watch them every day because, it's important to understand, what we're focusing on and its message resonating. So, Training is not one and done, it's continuous, and it's been effective at narrowing the gap between tenured agents conversion performance and new hires. So, I'm really pleased with the progress. And the learning curve is fast. And I think we accelerated because of all of our training techniques.
Michael Murray : And then just a quick one on, your local teams. Could you remind us, how many markets you're in for this AEP? And how does performance in these markets compare with other markets? 
Fran Soistman: Sure. Well, Mike, we started with really, 2 teams last year. We needed proof of concept that it does produce better performance than focusing only on a national operating model. And it absolutely did proof that local healthcare is local. And we've found that when you have agents that our focus more on what's available in a defined, a very defined geographic region, not just from a carrier perspective, but from a provider perspective, particularly with value-based arrangements, and plans that offer social determinative health solutions, they can be even more effective in being responsive to beneficiaries' needs. We expanded that to 6 markets this year, and early signs are confirming that it continues to be the right model. How far we go with this remains to be seen, but I think we made an important investments for ‘23 and it's looking good.
Operator: Thank you. There are no further questions at this time. I'll turn the call over to Fran Soistman for closing remarks. Please go ahead.
Fran Soistman: Well, thank you, operator. And thank you, everyone, again, for listening in on our call today. And we look forward to having one on one conversations over the coming days. Thank you.